Jann-Boje Meinecke: Good morning, and welcome to our Q3 results presentation. My name is Jann-Boje, and I'm heading Investor Relations at Vend. And as usual, our CEO, Christian; and our CFO, PC, are here also with me to present the performance and highlights for the quarter. Following the presentation, we will also have a Q&A session by Microsoft Teams where analysts can connect. Let me then show you the disclaimer slide before I hand over to Christian. Christian, please go ahead.
Christian Halvorsen: Thank you, Jann-Boje, and good morning, everyone. Very happy to be here to present our Q3 results. This was a quarter that really showed our progress towards becoming a pure-play marketplace company. We advanced monetization across our verticals. We executed with discipline when it came to cost, and we also took further steps to simplify our company. And financially, group revenues ended at NOK 1,595 million, and this represents a 1% year-on-year decline. Underneath the surface, however, the revenue development was positive for our verticals, driven by a solid ARPA growth. So this overall decline is then a result of several factors, reduction in the other HQ segment, the strategic decision to discontinue certain revenue streams in Recommerce and Jobs as well as a continued soft advertising area. Group EBITDA increased by 24% to NOK 640 million, and this was driven by reduced operating expenses across the group. And this is a reflection of lower personnel costs, also somewhat reduced marketing and lower costs related to the phaseout of TSA agreements with Schibsted Media. As I mentioned, we also continue to simplify the company. This is really to sharpen our execution. And during the quarter, we signed an agreement to sell Lendo, and we also started the sales process for delivery, together with also continued focus on exiting our venture portfolio. In parallel with all this, we are finalizing the removal of the dual share class. And also consistent with the capital allocation policy, the Board yesterday approved a new share buyback program that will start later this quarter. And here at the beginning, I also want to say that I'm very happy that we have appointed Yale Varty as our new Chief Commercial Officer for Vend. To me, this is an important step in strengthening our commercial leadership for the future for this company. So let's then move to the verticals, and let's begin with Mobility. And today, I'd like to -- before we go into the actual results, to spend a little bit time on the latest developments when it comes to dealer product packages and pricing. And one year ago, we announced new dealer packages in Norway, and these went live at the beginning of the year. And I would say that they have been a great success. Right now, around 70% of the volume from dealers is on the Pluss or Premium tiers of these packages. And that is also the reason why we are reporting now a 20% ARPA uplift in Q3. So to me, this model is really a proof that a more structured and a more transparent approach to the market creates value both for dealers and for us. It creates a better customer satisfaction and it improves performance at the same time. So we are now taking the next step. That means scaling this to Sweden, and we will launch dealer packages there in February of next year. And these packages will be very similar to the ones we had in Norway. And that means that they will also include features that really strengthen the value that we deliver to car dealers. And that, for example, includes things like integrated car valuation, buyer safety elements and also better dealer branding. Then there will be additional things that will come throughout the year. For example, Insight products will come later. And I also want to mention that with the Blocket launch on our Aurora platform that will happen a little bit later this quarter, dealers will also benefit from things like improved search, better filtering and also integration and traffic to their digital stores. So I would say, overall, this really marks another step in our path to harmonizing our offering across the Nordics. Now in addition to these changes that we're doing in Sweden, we're also harmonizing and changing the business model in Denmark, where we are moving to a pay per ad model. And we will obviously also continue to optimize the dealer packages that we have in Norway. So then let's move to the quarterly results. And here, we can see that the average revenue per ad or ARPA, which is our most important KPI, continues to grow well across all markets and all segments. And as we also saw in Q2, Sweden really leads the uplift here, and this is driven by both strong professional ARPA, and I would say, exceptional ARPA development in the private segment, and this is driven by upsell by value-based pricing and also new packages. Then in Norway, we also see a solid ARPA growth, and this is driven then by the package launches that I just mentioned that we came in the market with at the beginning of the year. And for Denmark, professional ARPA developed in line with the adjustments that we did at the year-end and also additional changes that we made in August of this year. Here, private ARPA was boosted by the introduction of listing fees for cars below DKK 50,000. However, these changes were reverted in mid-September to reboost listing volumes and to strengthen network effects by having more inventory. So if we then look at volumes. And here, we already announced the July and August numbers in our pre-silent newsletter that came on September 18. So most of this should already be known to you. But in Norway, we show a volume decline in Q3. This is mainly a result of a drop in subcategories. That means things like boat, caravans, motorcycles and so on. In these categories, we see a macroeconomic effect in this quarter. Cars, however, remained flat and even saw growth in the private area. For Sweden, Pro volume dropped, and this is due to the change in business model that we have mentioned before in sub-verticals in categories like heavy machinery. Cars remained flat in Sweden and private volume declined across categories. And in Denmark, I would say the overall market continues to perform very well. That means fast sell times. And unfortunately, for us, that means a decline in average daily listings for our Pro segment. And the drop that we see here in the private segment, that is something that we did expect. We have said it before, and this was driven by the introduction of the listing fees that I mentioned before. These are -- as I said, they have now been reverted and we see since the reversal growth week after week in this area. Moving then to the financials. And revenues in Mobility increased 8% overall in Q3. We had a couple of effects that had a negative effect, and that was the closing of Tori [ Autot ] with approximately NOK 8 million and the split from media with an additional NOK 5 million. If you take these factors into account, the underlying growth was 12%. On the back of the ARPA growth, classifieds revenues grew by 13%, while the transactional revenues grew by 18%. Advertising, however, was down 14% year-on-year. Then OpEx, excluding COGS, remained flat in Q3, and this is despite the continuous investments that we are making both in the transactional service as well as in core product and platform. And all in all, EBITDA increased by 16% compared to Q3 of last year, and this results in a margin of 57%. And if we were to exclude the transactional models, the margin was 64%, and this is up from 62% last year. Moving then to Real Estate. And let me also take a moment here to address some of the recent updates and announcement that we have made to product packages and pricing in Norway. I think these changes are quite important because they are strategic steps that we are making in aligning, let's say, the value that we deliver with the price that we charge to the market. And going into 2026, we are enhancing our large package. The purpose is to offer even greater value to the agents, but also to home sellers and to buyers. And one of the most important improvements is better agent promotion. This is something that we have designed to improve visibility and to really drive new sales mandates to agents on the large package. And just to give you an example of this, the launch of our home valuation tool that we call [indiscernible]. This is a feature that is exclusive to large agents. And it's a feature that, on one hand, helps home sellers get the valuation of their home. But on the other hand, also is a source for quality leads for agents. And it's only 2 months since we launched this service. And in that period, 40,000 homes have assessed their value using this tool, and we receive a lot of positive feedback from this tool. Now we're also narrowing the price gap between large and medium package from approximately 40% on average to now around 22% on average. And this is to more correctly reflect, let's say, the performance difference between the 2 package tiers. So overall, I would say that by offering more structure and by strengthening the platform tools, we really see that we benefit both agents, but also home buyers and sellers. And we see this as continued positive traction in the market where traffic continue to trend in a positive direction for real estate in Norway. Let's then move to the ARPA KPIs. And in Norway, Real Estate ARPA grew by 17%. The main driver here was residential for sale, where the ARPA growth was 18% year-on-year, and this is very much in line with what we have communicated previously. In Finland, we saw 19% year-over-year ARPA increase, and this is stronger than what we saw in the first half, driven partly by price increases, but also by changes in the product mix between for sale and for rent. We've also done better when it comes to upsell. Looking at the volume. And here in Norway, we had an exceptionally strong first half year. And now in Q3, we saw a decline of 3% as we've expected. We pointed out this in our Q2 presentation that we expected a volume decline in the second half of the year because of the very strong start and when we see at the -- let's say, the historical full year trends. In Finland, residential for sale volumes declined by 8% year-on-year and total volumes declined by 10%. And this also reflects the ongoing transition of rental listings from the, let's say, traditional classifieds model to the transactional business model that we have with Qasa. So for Real Estate, classifieds revenues grew by 9% year-over-year. And this was, of course, then driven by the aforementioned ARPA growth in residential for sale in Norway. But our transactional models, Qasa and HomeQ, they have also developed very well in Sweden. I can also add that our launch in Norway is also showing very promising signs. And overall, this segment of the transactional business models, here, we saw revenue growth of 29% in the third quarter. OpEx, excluding COGS, increased 5% year-on-year in this quarter, and this was driven by the marketing efforts that we're doing in Finland. And overall, this results then in an EBITDA margin of 48% for the quarter. And again, here, if we adjust for the transactional business and only look at the more traditional classifieds business, the margin was around 53%. Then to Jobs. And here, we continue to deliver exceptional ARPA growth of 17%. This is driven by our segmented price model, also changes that we have made to discounts as well as improved performance in our distribution products. Volumes, however, continue to decline. This reflects the macroeconomic environment in Norway. And if we look at, let's say, the year-to-date trends and compare it with the numbers from statistics Norway, we see that they mirror each other and that this confirms that we are tracking with, let's say, the overall national averages on volume development. So Jobs delivered then 1% underlying revenue growth in Norway. Classifieds grew by 2%, driven by the ARPA growth, but of course, then counteracted by the volume decline that was around 13%. For Jobs, OpEx, excluding COGS, decreased by 25%, and this was primarily driven by the exits in Sweden and Finland as well as some reductions in FTEs in Norway. And EBITDA grew 11% year-on-year, and this resulted in an EBITDA margin for Jobs of 55%. And finally, Recommerce. Here, transacted gross merchandise value or GMV continued to grow across all our markets, while our take rates remained solid. And this underpins our belief in the strong demand and the scalability of the Recommerce transactional model. Overall, Recommerce revenues declined 2%. This is driven by softness in advertising as well as the phaseout of low-margin and noncore revenue streams, while we still have a strong transactional growth with a revenue increase of 20% year-on-year. And transactional gross margin improved significantly in the quarter, and this was driven by lower cost of goods sold. OpEx, excluding COGS, decreased 2% year-on-year, and this was driven by FTE reductions from the platform consolidation, among other things. And these cost reductions were slightly counteracted by increased marketing efforts in this quarter. So overall, EBITDA improved to NOK 44 million and -- minus NOK 44 million, and this was a 6 percentage points margin improvement for Recommerce. And with that, I'll hand it over to PC to go a little bit deeper into our financials. Thank you.
Per Morland: Thank you, Christian, and good morning, everyone. Let me take you through the highlights of the financials for Q3. In total, revenues ended 1% below Q3 last year, primarily driven by the decline in other HQ, offset by continued improvement and underlying growth in Mobility, Real Estate and Jobs. Total EBITDA ended at NOK 640 million, up 24% from last year, driven by positive developments across all our verticals, but also other HQ. Christian has already covered the development in the verticals, but let me give you some color on the other HQ segment. The year-on-year decrease in other HQ was, as earlier quarters, mainly affected by a change in our allocation model and the revenue decline following the split from Schibsted Media. Revenues from Schibsted Media are declining a bit faster than expected due to earlier termination of certain TSA services. Other HQ had an EBITDA of minus NOK 8 million in the quarter compared to minus NOK 31 million in Q3 last year. So far, we've been able to reduce our cost faster than the reduction in the TSA revenues. Now let's move over to cost development in the quarter. This slide shows the development of OpEx, excluding COGS. The overall cost development and workforce reductions are progressing well. Earlier termination of certain TSA revenues, as I mentioned, has enabled an additional NOK 25 million in reduction in external costs. In total, OpEx, excluding COGS, declined by 14% in the quarter. Personnel costs were down 13% year-on-year, driven by significant FTE reduction, mainly from the downsizing process that we executed last year, but also from the process of exiting the Jobs business in Sweden and in Finland as well as ongoing FTE management throughout the year. Our total workforce continued to trend slightly downwards. And at the end of Q3, we are a little bit below 1,700 FTEs in the company. Total marketing costs were down 7% year-on-year, driven by the job exits in Sweden and in Finland, partly offset by higher marketing costs in Real Estate and in Recommerce. Other costs decreased 18%, driven by general cost reduction across, but also a positive effect from the termination of the TSA revenues -- or TSA services with Schibsted Media. So overall, this resulted in a 7 percentage point improvement in OpEx, excluding COGS over revenue from 58% in Q3 last year to 51% in Q3 this year. Let me move to the income statement. Our operating profit for the quarter increased to NOK 440 million, up from NOK 263 million last year. This is mainly due to the improved EBITDA, but also somewhat lower depreciation and amortization costs and also lower net other expenses. The fair value of our 14% ownership stake in Adevinta has decreased from NOK 20 billion in Q2 to NOK 18.9 billion now at the end of Q3. The decrease is due to a multiple contraction in the industry, partly offset by improved performance for Adevinta. And then based on the updated valuation, a loss of NOK 1.1 billion was recognized as a financial expense in Q3. Our valuation methodology is kept unchanged. In totality, net loss for the group ended at around NOK 650 million minus. Let's move to cash flow. Cash flow from operating activities for the continuing operations ended at NOK 442 million, driven by the strong EBITDA. Cash outflow from investment activities in Q3 ended at minus NOK 21 million, and this includes a CapEx of NOK 108 million, offset by proceeds from sales processes within the venture portfolio and also some additional proceeds from the Prisjakt transaction. And then finally, cash flow from financing activities ended at minus NOK 18 million, mainly due to lease payments in the quarter. On the financial position, net debt amounted to NOK 25 million at the end of Q3. There were no refinancing activities in the quarter. Due to the still strong cash balance, Vend has deposited a total of NOK 1.6 billion in short-term liquidity funds to achieve a slightly higher return than bank deposits. The Scope Ratings of BBB+ with a positive stable outlook confirms Vend as a solid investment-grade company. Then let me end my presentation with a reminder of the financial framework and some comments on the outlook. I want to again reiterate our strategy, our medium-term targets and also the capital allocation principles that we laid out at the Capital Markets Day in November last year. Our strategy execution is going well, and we are on track to deliver on our medium-term targets. Regarding portfolio simplification, we are on track, and we have, during the first 9 months of 2025, made multiple divestments. In addition to selling Prisjakt and Lendo, we have also divested several of our venture portfolio investments. The exit processes for our skilled trade marketplaces is progressing as planned. And also during the quarter, we have initiated a process to sell delivery. The collapse of the AMB share structure is currently ongoing and will be completed during November, well ahead of the end of year deadline. And once the share collapse is completed, we will, as announced last night, launch another NOK 2 billion share buyback program. A couple of messages related to outlook before we move to the Q&A. As we enter the final quarter of 2025, we expect continued solid ARPA momentum across all our verticals. Volume trends, though, remain difficult to predict. Our simplification agenda will continue to affect the results also in Q4, reflecting the final effects of the phaseout and the deconsolidation of revenue streams in Recommerce, but also the exit of our Jobs position in Finland and in Sweden. And following the separation from Schibsted Media, advertising revenue continued to be under pressure at least compared to the last year. Our cost agenda remains firmly on track. The cost base is expected to stay below last year's level, although we expect the rate of the decline to moderate a bit in Q4, as we start to analyze some of the big savings that we did last year. Looking beyond 2025, we have already launched and are in the midst of launching go-to-market activities in all our verticals aligned with our product and pricing strategy. These actions are expected to drive revenue growth across our verticals in line with our medium-term targets. Structural initiatives, including common platform consolidation, divestments and support function realignment will continue to deliver efficiencies over time. Revenues in other HQ will continue to be under significant pressure also going into 2026. And then this is driven by completing the TSA with Schibsted Media by the end of 2025, combined with effects from progressing on the other exit processes that I mentioned. Based on the current knowledge that we have, we expect a temporary EBITDA headwind of up to NOK 100 million in 2026 compared to 2025. And we expect to be able to mitigate this fully in 2027. Overall, we remain confident in our ability to deliver on the medium-term targets. And with that, I hand over to you, Jann-Boje, and go into the Q&A.
Jann-Boje Meinecke: Thank you, PC. So looking at Microsoft Teams, a lot of questions already. I think first in line is Will from BNP Paribas.
William Packer: Three for me, please. So as I'm sure you're aware, GenAI has become a more prominent investor concern for the classifieds in recent months, which has dragged some share prices, a whole host of concerns, be it weakening network effects as traffic leaks to GenAI search or disruption by Agentic AI. I wanted to hone in on a couple of specific areas. So firstly, do you think you can sufficiently invest in your tech stack and consumer offering in the context of these rapidly emerging developments within the envelope of the cost cutting and margin expansion as you outlined in your CMD? I think consensus has 1,000 basis points of margin expansion to 2027. Can you sufficiently invest in offerings such as prompt-based search or hiring new staff with GenAI expertise? Secondly, Zillow has integrated their inventory on to ChatGPT. The U.S. market is a special one with MLSs, high competitive intensity, buying agents. So the market context is obviously very different. But would you consider a similar move? And then finally, on a slightly different note, press reports from the FT suggest that Mobile.de is considering an IPO next year. In the event that it goes ahead, would you consider fully or partially monetizing your stake? Or would you prefer to hold for the long term?
Christian Halvorsen: All right. I can answer the AI questions, and you can take the last question. So first of all, I would say that we remain very positive when it comes to the opportunities from AI. We think it plays to our strengths and that this provides significant opportunity both for productivity gains and for delivering better services to users and customers. Of course, there are some risks, as you point out, but I really think that we are in a great position to deliver on that. And it's really about combining world-class AI with this deep vertical knowledge. When it comes to investments, I would say that, yes, AI will require some investments. But at the same time, we also know that AI will have productivity gains and free up capacity. So I think within that, we believe that there is room to make the sufficient investments in AI within the financial guidance that we have given. Then to your question about Zillow, I think it's too early to comment on, let's say, the impact of an initiative like that. When you look at the -- it's very nascent. But when you look at that product today, it doesn't really provide any, let's say, new or very different user benefit. But of course, we're following this. We are testing and experimenting. But for right now, we don't have any plans to launch a similar app, but that may change as things evolve.
Per Morland: And then on your third question related to Adevinta, we don't comment on rumors or speculations in the market related to Adevinta. But what I can say is -- just repeat what we have said before is, first of all, we're very happy with being a 14% owner of Adevinta, and we believe this is a good, let's say, case for our shareholders going forward, both operationally and also structurally. And also just reiterate our capital allocation principles in the case that there are any proceeds coming in. As you have seen before, we will follow those guidelines that we have communicated and stick to, and there's no change in that.
Jann-Boje Meinecke: Thanks for the question, Will. Then we can move on to the next one, who is Yulia from UBS.
Yulia Kazakovtseva: This is Yulia from UBS. I have 3, if I may. The first one is about go-to-market initiatives. Could you please share a little bit more details about what these initiatives are? And is there any particular angle with regards to verticals or maybe geographies? The second question would be about EBITDA loss in other HQ in Q3. That number was meaningfully smaller in Q3 as compared to 1Q and 2Q. Should we think about the Q3 number as a good proxy for Q4 number? And then also, as we think about 2026, should we -- how should we think about that? Should we take Q3 number, then add on top this NOK 100 million headwind and divide by 4, which would imply about NOK 33 million loss per quarter? And then finally, you spoke about scaling dealer packages in Sweden in February. You mentioned that about 70% in Norway of volumes is going through Pluss and Premium already. Do you think the -- like what's -- first of all, what's the Premium penetration? And then do you think this mix between Pluss and Premium is already where you wanted it to be? Or do you expect any further changes?
Christian Halvorsen: All right. I'll answer the first and the last, and you can take the middle question, PC. So first question was around go-to-market. And when we talk about go-to-market, it's really all the work that goes into bringing new products, prices and so on to our customers. And that is a process that takes up quite a lot of time and capacity throughout the full year, everything from building products that we really know deliver value to the customers, packaging those in a good way and working with our sales force to train them in how to talk about the value we deliver to customers and so on and how to answer questions and concerns from the customers. So this is something that we have professionalized substantially over recent years and that we're quite happy with how it works recently. And it's particularly important in Jobs, Real Estate and Mobility. Then when it comes to packages in Norway and the distribution among different tiers, I don't think we will comment more on, let's say, the details of how it's divided between Pluss and Premium. But I can say that when it comes to Norway, it is, of course, still an area that we will continue to optimize and work on both when it comes to the pricing and kind of the distribution of products for customers.
Per Morland: And then your question on the losses in other HQ. So let me take a step back. So this is where we see the effects, both positive and negative related to the massive sort of transformation we are going through. When we met at the Capital Market Day last year, we had a sort of a last 12 months deficit of NOK 316 million. And at that point, we said that we need to be prepared that this could be NOK 100 million to NOK 200 million worse before it's coming down. If we then look at where we are as of now, over the last 12 months, similar number, we are a bit lower than NOK 300 million in deficit last 4 quarters. And then what we are saying is we've been able to reduce cost faster than the revenue has declined so far. That's not necessarily going to continue going forward. So there's 2 effects that you see going into '26. Both is that you get the sort of -- a bit sort of front-loading the EBITDA effect in '25 and also we're not able to fully address all the effects at the same time as the revenue fall off going into next year. So I'm not going to give you sort of a concrete, let's say, outlook either for Q4 or '26, but I think then you have some parameters to work for.
Jann-Boje Meinecke: Thanks, Yulia. Then we can move over to Fredrik from Handelsbanken. Fredrik, can you hear us?
Fredrik Lithell: Yes. Christian, when you describe the various verticals, you talk a lot about the effects on ARPA and sort of the volume declines. Are you sure that all the volume declines are just from the backdrop of weak macro? Is it so that you are too aggressive in certain instances when it comes to price increases, for example, as you described in Denmark on the private side. So are there any other areas where you are evaluating any other sort of moves when it comes to pricing going forward would be interesting to hear.
Christian Halvorsen: Yes. Great question. Of course, we follow the development between price and volume very closely. And as you mentioned, we saw that the volume decline in Denmark on the private side was too high. So we kind of reverted that initiative. I would say, if you look at this topic more broadly, we are quite confident that the volume declines that we see are driven by macro or other market dynamics, but not that we are losing market share. I mean it could be -- let's say, for example, in Mobility, we see that sub-verticals are doing quite poorly in Norway. That's clearly driven by macro. In Sweden for sub-verticals, it's driven by the business model change that we're doing. and so on and so forth. So we remain confident in the approach that we have made to pricing and packaging in -- yes, broadly, I would say.
Fredrik Lithell: Okay. And I have a follow-up, if I may, on Recommerce. It's still loss-making. You sound optimistic about sort of the model you have and the progress going forward. Do you have a plan B? I mean, what's your thinking in terms of how long would you let it be sort of the loss-making in the way it is would be interesting.
Christian Halvorsen: We remain confident in the progress and in the potential of Recommerce. So that's what we are aiming for, and we don't have a plan B as such.
Jann-Boje Meinecke: Thanks, Fredrik. Then I think we go back to Oslo. So Markus from SEB is next in line.
Markus Heiberg: So first one is just to go back on the TSAs. And maybe you can break down into 2026 and in the revenues and cost is up to NOK 100 million, how much is cost and how much is revenues? And then secondly, on the TSAs, it seems in Q3 that HQ costs are coming down due to external expenses rather than headcount. So maybe also you can elaborate when and how you expect to reduce the headcount on HQ and maybe also how that will trickle down to the allocated HQ expenses into the vertical. So maybe you can elaborate a bit more there. And then the second one I have is on the car volumes. New car sales have picked up in the Nordics, and it seems like dealer inventories are improving into Q4. How do you see the Mobility volumes now into 2026?
Per Morland: Shall I start...
Christian Halvorsen: Yes.
Per Morland: The first 2 ones. Yes, on TSAs, maybe give a bit more color on the TSA revenue related to Schibsted Media. Again, bring us back to the Capital Markets Day last year at that point and also entering this year, we said that we had around NOK 300 million in annual TSA revenues. That -- in the first half, that was only slightly going down. And then as I mentioned earlier today, we have seen an acceleration of those revenues going down. And we expect for the year to end around NOK 200 million for 2025. For 2026, that will be 0. So that shows the development on the revenue side. And then the cost side, I'm not going to give you a specific number, but that's included in the perspectives that we then share with you on the development on HQ/Other, both for this year and next year. I think maybe I wasn't totally clear when I talked about Q3. So when I talked about reduction in external spend, that was the additional cost reduction, which is linked to the faster ramp down of the CSA services. And those have specific external components, license costs, cloud-related costs. And that's why they were able to drop down at the same pace as the revenue fall down. In HQ/Other, we have a significant FTE reduction in the already numbers for this year, and we will continue to reduce that also going into next year. So you see a reduction across all cost items in the support functions.
Christian Halvorsen: Yes. So when it comes to volumes, I first want to say and reiterate what we have said, it remains hard to predict volume development also going forward. So we will not give you any hard statements as such. But also repeat what we said about the Mobility volumes that it is actually better if you look at cars than it is if you look at the sub-verticals. So that's a general trend. Also, you mentioned some, let's say, more positive signs externally. There is good new car sales in our markets, and that usually translates also to good used car sales. There are also some changes in regulations, for example, that they're changing the VAT for electric vehicles in Norway, where that is being reduced going into '26 and also in '27, and that is likely to increase new car sales for electric vehicles in Norway even further. So let's see what this ends up with. It's hard to predict, but there are at least some promising signs.
Jann-Boje Meinecke: Thanks, Markus. Then next up is Petter from ABG.
Petter Nystrøm: So 2 questions for me. One is on cost. At the Capital Markets Day, you set a medium-term target of OpEx target of 40% of sales by '27. How should we think about the phasing into '26 and '27 on that? Will this happen gradually? Or should we expect a more significant step down primarily in 2027? The second question is on Mobility in Sweden and the new package structure. I totally understand that this won't go live before February. But have you received any feedback so far on the structure?
Per Morland: Yes. On OpEx, excluding COGS over revenue, so as I said earlier, we are on the last 12 months, a year ago, at 65% and communicated a clear target to go towards 40% level. And as you have seen already this year, we are taking steps towards that. We still have some way to go. And that will be a combination of continuing the underlying revenue growth in the verticals that, of course, will help us out, at the same time, manage our cost development. So I think you will see those 2 effects continue to improve on that relative measure towards 2027. And there's not like at one point, suddenly, there's going to be a massive drop. So I'm not going to give you any more color on that specifically for 2026.
Christian Halvorsen: Yes. On the car packages for Pro's in Sweden, first, I want to just say that the first step is to launch Blocket on the Aurora platform, and that will happen a little bit later in this quarter. And it's on that new platform that we will launch these new packages in February. So we have actually been out in the market discussing with the largest dealers, both kind of the new platform and how that looks as well as the packages. And I would say that the feedback so far is positive and promising, I would say.
Jann-Boje Meinecke: Thanks, Petter. Next one up is Silvia from Deutsche Bank.
Silvia Cuneo: Just one question left from my side on the 2026 outlook. I know it's still early, but given the message you provided in the release and earlier in the call that you expect to drive revenue growth across the verticals in line with the medium-term targets for 2026, that implies an improvement sequentially. And I just wanted to ask about your expectations within that for volumes since you said it's hard to predict. How can you be confident to increase revenue towards the medium-term targets without clear visibility on the volumes at this stage? So what are you expecting? And perhaps also related to that, what are your expectations on the macro impacts on advertising now that those phasing effects will be pretty much in the base from the removal of the Schibsted Media assets?
Per Morland: Yes, I'll try to give some color on that. So yes, you're right, we have confirmed that our pricing and packaging monetization measures that we have already or are in the midst of introducing help us to deliver on revenue growth in line with our medium-term targets set by each vertical. In general, given that volumes is hard to predict, we assume a quite flattish development of volumes across our verticals. And then it becomes -- if that's significantly different, then we will have to look at that -- what is possible to do. On advertising, if you look at the development this year, it's very much driven by the separation from Schibsted Media. It's not really market driven, and we see no sort of big changes in that. So our base assumption is also that advertising will be okay from a macro perspective and the stabilization and potential sort of improvement over time is coming more from our action of developing advertising products relevant for our customers.
Jann-Boje Meinecke: Thanks, Silvia. I can't see any more hands up currently. I'm also checking my Inbox if anyone written a question there, but it seems like we covered it for today. So thank you for tuning in, and I'm sure we stay in touch.